Operator: Good day and thank you for standing by. Welcome to the IAS Q3 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Jonathan Schaffer, SVP of Investor Relations. Please go ahead.
Jonathan Schaffer: Thank you. Good afternoon, and welcome to the IAS 2024 third quarter financial results conference call. I'm joined today by Lisa Utzschneider, CEO; and Tania Secor, CFO. Before we begin, please note that today's call and prepared remarks contain forward-looking statements. We refer you to the company's filings with the SEC posted on our Investor Relations site at investors.integralads.com for more details about important risks and uncertainties that could cause actual results to differ materially from our expectations. We will also refer to non-GAAP measures on today's call. A reconciliation of non-GAAP measures to the most directly comparable GAAP measures is contained in today's earnings release available on our Investor Relations site. All financial comparisons unless noted otherwise are based on the prior year period. So with these formalities out of the way, I'd now like to turn the call over to our CEO, Lisa Utzschneider. Lisa, you may begin.
Lisa Utzschneider: Thank you, Jonathan. Welcome, everyone to our 2024 third quarter call. We reported a double-digit increase in total revenue for the quarter, with growth across our optimization, measurement and publisher businesses. We also advanced our technology and product innovation, expanded platform partnerships, including our first-to-market meta optimization solution, one new customers, including from Oracle and announced strategic senior level hires, while we made significant progress towards positioning IAS for long-term sustainable performance, our third quarter revenue growth of 11% was limited by a slowdown in volume growth in the near-term, most notably in CPG and retail. As a result, we are taking a prudent approach to our fourth quarter and full year outlook and expect fourth quarter revenue growth of 11%, consistent with the third quarter. The fourth quarter is expected to represent approximately 28% of full year 2024 revenue on par with last year's fourth quarter contribution. We exceeded our adjusted EBITDA expectations for the third quarter by diligently managing our costs. We reported a record third quarter adjusted EBITDA margin of 38%, which we expect to maintain in the fourth quarter. IAS is a market leader based on our differentiated technology, including our suite of AI backed products and our ability to deliver greater ROI and efficiency to brands and their advertising spend. In recent months, we have enhanced our executive leadership, platform partnerships and product offerings to drive long-term growth. In September, we welcome Marc Grabowski to IES' Chief Operating Officer; and Srishti Gupta as Chief Product Officer. The addition of Marc and Srishti to our leadership team strengthens our customer-first approach and advances our product development to meet the future needs of our customers and partners. Marc and Srishti’s visionary leadership further IAS's commitment to customer obsession and superior product development. Marc brings extensive global leadership experience across the demand and supply sides of the advertising industry, spanning both enterprise and mid-market. He joined IAS from Oracle Advertising, where he led their global commercial organization for Oracle's advertising products, including Moat, Datalogix, Bluekai and Grapeshot. He also brings senior level leadership experience at Criteo, Perseo and Yahoo. As COO, Marc leads our commercial organization encompassing global revenue, customer success and marketing. Sristi has a proven track record of launching ad measurement and optimization products at global scale. At Amazon, Sristi spearheaded the creation of cross-channel measurement and optimization products. She also brings additional measurement experience from her tenure with IRI, now Circana, where she built products from the ground up. Most recently, she served as Chief Product Officer at Rock, an e-commerce technology company, where she ensured a highly relevant experience across billions of e-commerce transactions. At IAS, Shri leads our global product team, go-to-market initiatives, product marketing and research and insights. Marc and Sri have hit the ground running, spending time with our customers, identifying opportunities to advance our go-to-market capabilities and positioning IAS for success in 2025. We continue to maintain a strong pace of new business momentum, including greenfield opportunities with major global brands as well as signed partnerships with advertisers, publishers and platforms previously with Oracle. We won more than 75 new Oracle customers since June, representing a 72% win rate on Oracle opportunities in which we participated. We have hired over 30 former Oracle employees, which we believe gives us an advantage in securing and onboarding Oracle customers. New Oracle wins include brands such as Peacock, Heineken and Emirates, platforms such as -- the Trade Desk, Quantcast, Nextdoor, Kargo and Pandora and publishers such as Dow Jones, Bloomberg, NASCAR, Conde Nast and TripleLift. Let me provide some additional color on some of these recent wins. Peacock switched from Oracle Moat to IAS as part of the moat deprecation, taking advantage of the seamless integration with auto tagging and our CTV offerings. Heineken selected IAS as their exclusive global strategic partner, replacing Oracle Moat. IAS was awarded the opportunity based on our robust total visibility solution, which delivers transparency into media quality and costs across the programmatic supply chain, along with our full suite of core measurement solutions, including quality attention and sustainability. Emirates, the global airline based in Dubai, chose IAS as their global measurement and optimization provider following a competitive process. IAS won the Emirates opportunity based on our superior coverage, industry-leading CTV offerings, the strength of our product road map, commitment to technology innovation and personal in-market service. In addition, we expanded our relationships with existing customers as part of several recent contract renewals. Volvo Cars renewed and expand its global relationship with IAS. The expanded partnership includes post-bid Total Media Quality or TMQ, across social platforms, total visibility and made for advertising reporting as well as pre-bid brand safety, invalid traffic and contextual avoidance. Opella, previously Sanofi CHC, a multinational health care company, renewed and expanded its global agreement with IAS. Our agreement with Opella now includes TMQ, attention and sustainability measurement. Verizon recently expanded its relationship with IAS to include contextual avoidance across its business lines in the US. IAS' context control suite helps protect the Verizon brand across its programmatic channels. Verizon has been a valued IAS customers since 2016 and was most recently an early adopter of our total media quality products and major social platforms. IAS is a trusted partner to brands, as they embrace an omni-channel marketing strategy. TMQ, our AI-driven multimedia classification technology for social live feeds continues to drive measurement performance. We have extended our TMQ capabilities on both new and existing platforms. With Meta, we are now supporting six additional languages for brand safety and suitability measurement for a total of 34 languages in over 100 countries. We recently expanded our TMQ offering on TikTok to include viewability, invalid traffic and brand safety and suitability measurement across several new ad placements. These include TikTok, Profile Feed, Following Feed, Search Feed and TikTok Life. We are also expanding TMQ for TikTok, vertical sensitivity and category exclusion controls coverage to 75-plus markets by the end of 2024. In addition, we are live with TMQ on new platforms, including first to market with Snap, Pinterest and Reddit scheduled to launch by the end of this year. At IAS, we lead with customer obsession. The voice of the customer informs everything we do. We build products based on customers' needs in areas that can drive accelerated revenue growth. Heading into this year's US elections, marketers asked us to enhance our TMQ measurement offering to include misinformation detection in social media feeds, previously available only on the Open Web. We launched our misinformation detection capabilities on TikTok and Meta in April in advance of the general election in several months ahead of our nearest competitor. In September, we announced the launch of brand safety and suitability reporting for misinformation on YouTube. Pre-bid optimization in social media is another emerging area, where we are meeting customer demand with industry-leading innovation. Using our pre-bid social products, brands can now optimize their ad placements, customize their suitability settings, eliminate waste and increase ROI. The pre-bid solutions are integrated within our full optimization suite, so customers can imply their Open Web preferences seamlessly within social environment. Our differentiated classification technology has accelerated the rollout of our pre-bid optimization offering across the major social platforms. We were delighted that Meta selected IAS as their initial partner for the testing of our pre-bid optimization solutions on Meta. Our third-party content block listing solution for ads on Facebook and Instagram Feed and Reels offers global advertisers the ability to automatically avoid placing ads next to unsuitable content for their brands as aligned to industry standards. This launch closes a loop from pre-bid optimization to post-bid measurement on Meta. The launch of pre-bid optimization on Meta in October, follows earlier pre-bid integrations with TikTok, LinkedIn and X. Last month, we announced that we are currently in alpha testing in partnership with TikTok for our new video level exclusion list solution as we extend the reach of our pre-bid offerings on the platform. Pre-id optimization more than doubles the size of our social opportunity and builds on our post-bid social media measurement revenue, which accounted for 22% of total revenue in the third quarter and over $100 million in annual revenue. Last week, we announced the launch of IAS Curation on Google Adventure with IAS Curation advertisers can now consolidate bidding on high-quality inventory and precisely target contextually relevant content to drive efficiency for their ad buys. This launch is the latest expansion of IAS' long-standing partnership with Google. AIS is currently the only verification provider supporting Google's curation launch. Last month, we announced the expansion of our quality attention postbid measurement product to publishers and sell-side platforms, leveraging our ML back models, quality attention weighs metrics into an actionable attention score, which publishers and SSPs can use to take advantage of their best-performing inventory. In CTV, we are investing in all layers of the stack, including device, publisher and delivery with the goal of unlocking a projected $40 billion ad spend market by 2027, according to eMarketer. Our core customers are accessing the full suite of our public products, which allows us to drive even greater optimization across demand sources. We have introduced new product features to increase bidding competition in ad auctions. Publica recently won the prestigious Video week Award for Best CTV app innovation, showcasing our superior technology and the commitment of our global team. Throughout 2024, we have also pursued strategic partnership discussions with prominent data provided, aiming to enrich our first-party media quality signals. We expect these collaborations will allow us to measure campaign outcomes at a deeper level, while expanding IAS' monetization potential. Our goal is to enable advertisers to leverage IAS' data with trusted third-party data sets and optimize their campaigns to meet key performance objectives. This initiative underscores our commitment to providing measurable value and high-quality insights, and we look forward to building on our progress in 2025. To conclude, we delivered growth and profitability well above the rule of 40, and we're taking steps to improve business and performance. We've strengthened our senior leadership team with recent C-level appointments, and we are winning new revenue opportunities, including Oracle's former advertising customers. As highlighted by our first-to-market prebid optimization solution on Meta, we are leading with product innovation informed by the voice of the customer. We expect to benefit from these initiatives with a focus on delivering double-digit revenue growth in 2025. And with that, I'll turn the call over to Tania to review the financials, and then we'll take your questions.
Tania Secor: Thanks, Lisa, and welcome, everyone. We reported 11% revenue growth for the third quarter, with gains across our optimization, measurement and publisher businesses. In addition, we reported record profitability with an adjusted EBITDA margin of 38%. As Lisa noted, advertiser revenue growth for the quarter was limited by a slowdown in volume growth in the near term, most notably in CPG and retail. We attribute this to budget cuts and delays in digital media spending in these verticals in the second half of the quarter. In addition, while we're seeing healthy adoption of several new products launched this year, we experienced lower-than-anticipated monetization in the period. Total revenue in the third quarter increased 11% to $133.5 million. Optimization revenue grew 7% to $61.1 million in the third quarter. Optimization revenue growth in the period reflects increased adoption of our context control avoidance offerings, including quality sync and made for advertising. Measurement revenue increased 11% to $52.9 million in the third quarter. Measurement growth was driven primarily by increased adoption of our premium TMQ offering across the global social platform. Social media revenue grew 21% and represented 55% of measurement revenue, up from 53% in the second quarter of 2024. Social media revenue represented 22% of total revenue in the third quarter. Open web revenue, which represented 45% of measurement revenue was consistent with the prior year period. Video grew 15% in the third quarter as a result of the growth of social media and accounted for 56% of measurement revenue. Total revenue from advertisers, which includes both optimization and measurement, represented 85% of total revenue in the third quarter. Publisher revenue increased 26% to $19.5 million ahead of our growth expectations for the third quarter. We scaled new products in Publica, particularly with our large OEM partners and saw some benefit from political spend, non-CTV IAS publisher revenue also increased in the period. Publisher revenue represented 15% of total third quarter revenue. We believe our extensive global footprint continues to be a competitive differentiator. International growth of 11% benefited from adoption of our social media products, including TMQ as well as the contribution from new logos. 31% of our total revenue in the third quarter were $41 million came from outside of the Americas. In addition, 44% of measurement revenue was from outside of the Americas. Gross profit margin for the third quarter was 80%, up from 79% in the prior year period. Gross margin performance reflects improved optimization of our hosting costs. Sales and marketing, technology and development and general and administrative expenses combined increased 4% year-over-year. We continue to make strategic hires, including new Oracle talent, while closely managing costs. Stock-based compensation expense for the period was $16.4 million, in line with our prior outlook of $16 million to $17 million. Adjusted EBITDA for the third quarter, which excludes stock-based compensation and onetime items, was $50.6 million above our prior outlook of $48 million to $50 million. Adjusted EBITDA margin increased to 38% from 34% last year. Higher gross profit margin increased capitalization of internally developed software and greater operating expense efficiencies contributed to our strong adjusted EBITDA margin in the third quarter. Net income for the third quarter was $16.1 million, or $0.10 per share compared to a $13.7 million loss in the third quarter of 2023. The net loss in the prior year period was driven by the timing of our income tax provision related to stock-based compensation from the return target options expensed in the second quarter of 2023. Moving to our performance metrics. Our third quarter net revenue retention, or NRR, was 108%, which reflects the trend of our overall advertising revenue growth rate for the trailing 12-month period. The total number of large advertising customers, which includes both mid-tier and top-tier clients with annual revenue over $200,000 grew to 232 compared to 219 last year. Revenue from large advertising customers was 85% of total advertising revenue on a trailing 12-month basis. We continue to generate strong cash flows and maintain a healthy balance sheet with cash and cash equivalents at the end of the third quarter of $57 million. During the quarter, we reduced our long-term debt by $30 million to $65 million. As a result, our net debt at the end of the third quarter was $8 million. Turning to guidance. For the fourth quarter ending December 31, 2024, we expect total revenue in the range of $148 million to $150 million or 11% year-over-year growth at the midpoint. Our fourth quarter revenue outlook assumes the continuation of lower volume growth in the near term, most notably in CPG and retail. We have also factored in lower-than-anticipated monetization of new products in the fourth quarter. In addition, at the start of the quarter, we were impacted by softening brand spend leading up to the US elections. Our fourth quarter outlook includes the anticipated contribution of the new Oracle wins discussed earlier. Adjusted EBITDA for the fourth quarter is expected in the range of $55 million to $57 million or 38% margin at the midpoint. For the full year 2024, we are updating our revenue outlook to $525 million to $527 million or 11% year-over-year growth at the midpoint. We are increasing our full year adjusted EBITDA outlook to $185 million to $187 million or a 35% margin at the midpoint. A few additional modeling points. As a result of our strong gross margin performance, we now expect to achieve the upper end of our full year gross margin target of 77% to 79%. Fourth quarter stock-based compensation expense is expected in the range of $15 million to $16 million and $62 million to $63 million for the full year. We expect weighted average shares outstanding for the fourth quarter in the range of 162 million to 163 million shares and 160.5 million to 161.5 million shares for the full year. As we move into 2025, we will continue to focus on profitable growth. While we are not providing 2025 guidance today, we are planning for double-digit revenue growth in 2025 and we are expecting moderate growth in Q1 with a ramp through the year. We expect to benefit from the scaling of products launched in 2024 as well as the adoption of pre-bid optimization in social media, along with the full year contribution from recently on Oracle business. We will continue to invest in differentiated products in 2025, while managing our costs and maintaining strong profitability. We are targeting full year adjusted EBITDA margin in 2025, similar to the forecasted margin of our 2024 outlook, which will keep us well above the rule of 40 for the fifth consecutive year since IPO. And with that, Lisa and I are now ready to take your questions. Operator?
Operator: Thank you. At this time, we will conduct the question-and-answer session. [Operator Instructions] Our first question comes from Matt Farrell of Piper Sandler. Your line is now open.
Q – Matt Farrell: Thanks so much for letting me ask the question. My first one would just be -- I would love to hear any additional color you can provide regarding the dynamics in the third and fourth quarter that impacted the outlook. Was the retail and CPG dynamics broad-based or was it isolated to a few customers? And would love to hear a little bit more as well about the slower-than-expected ramp of new products. Was that an internal driver? Was it a customer-specific driver? Anything you could add would be helpful. Thanks.
Lisa Utzschneider: Sure. Happy to take that. So as we move through third quarter, we did see a slowdown in volume growth, particularly in CPG and retail verticals. We attribute the slowdown to a few things: budget cuts, delays in digital media spend in these verticals and also slower-than-expected ramp of new product adoption. One highlight that I do want to call out for the quarter is our publisher growth of 26% outperformed as we scaled new public CTV products with large OEM product and in terms of the slower-than-expected ramp of the new product adoption. Basically, as you might remember, we had a robust product road map. We had many new products that we've launched in 2024, some have seen tremendous adoption. TMP is a great example of that as we launched on Meta in first quarter. With some of the other products, the brands are absolutely leaning in and adopting the products. They're just the ramp and the rate of adoption is taking a little longer than we had anticipated. But we're pleased with the fact that we're delivering value to the advertisers.
Matt Farrell: And then as a follow-up question, I would just love to hear what the key learning's to date are with the early integration of Oracle customers? How are those ramping as we move through 2024? And how should we be thinking about the contribution to that double-digit revenue growth next year? Thank you.
Lisa Utzschneider: Sure. Happy to talk about Oracle. You might remember as the summer of Oracle. I'm really proud of the efforts of our sales team I know that we just shared our win rate, but we saw a 72% win rate on the Oracle opportunities, and the team put 75 new Oracle customers on the Board since Oracle announced that they were exiting the advertising business. What really helps both with bringing these customers on board, but I'd say, more importantly, with the integration, the activation, getting these customers live by October 1, given that Oracle announced at September 30 exit date. What we found is listening very closely to the new customer needs getting a focused and dedicated team in place to ensure that we were properly integrating, onboarding the customers and getting them live and up and running in fourth quarter.
Tania Secor: In terms of the ramp, Matt, the revenue contribution from Oracle is factored into our fourth quarter guide
Operator: Thank you. Our next question comes from Andrew Marok of Raymond James. Your line is now open.
Andrew Marok: Thanks for taking my questions as well. So we know that the Oracle shutdown went through on September 30. But are there a significant volume of advertisers still outstanding that might still be evaluating their go-forward plans?
Lisa Utzschneider: Yeah. So we are very focused with the current onboarding integration activation of the 75-plus customers that I just had mentioned. And I should call out these customers range from brands, publishers and platforms. But there is still runway to win more business. And the team, again, they're, very focused on activating the Oracle business on focusing on cross-sell and up-sell, especially given the fact that Oracle did not have a robust brand safety and suitability solution. So the team is focused on that up-sell, cross-sell, but we're also going after more business to win.
Matt Farrell: Great. And then maybe one more if I could. We've seen some press reports over the last couple of weeks that IAS may have been raising prices on some of their solutions. One, if you could comment on that specifically, that would be great. But just kind of a holistic overall where you feel that your prices stand currently with respect to the value that you're providing for your clients and how that's contemplated into your 2025 commentary? Thank you.
Lisa Utzschneider: Sure. So we leave with value. We lead with demonstrating value of our differentiated products. We never leave with price first. It is a competitive marketplace, as we had just mentioned the Oracle jump all summer that's been happening over the last few months. But what's so important is, especially with the products where we command a higher premium price like a Total Media Quality that we're offering across all of the social platforms that we are quantifying the value that we are offering to our customers. We are demonstrating to them, how our products provide greater transparency that we're helping them runs their ads adjacent to higher-quality media, TikTok alone. We're already proving out that we are ensuring that ads are running adjacent to 3x higher quality media that lead to higher ROI.
Operator: Thank you. Our next question comes from Jason Helfstein of Oppenheimer. Your line is now open.
Unidentified Analyst: This is Steve Roman [ph] on the line for Jason. So just one quick one from us, so you mentioned that some advertisers started to -- in leading up to the U.S. election began moderating the spend, just wondering, -- I know you gave 4Q guidance, but just wondering how those advertisers are now whether they are spending or have sort of increased their spend back to normal levels post-U.S. election? Thanks.
Lisa Utzschneider: So we did see a slowdown in advertising spend at the start of the fourth quarter, leading up to the U.S. elections. We have not -- it's too early to tell if there's any bounce back yet. But as we develop our fourth quarter guide, we were prudent in our approach and taking into consideration all of the factors that we reflected and discuss like this start to October as well as the moderating adoption of our new product offerings as well as the pacing that we're seeing with volume overall, particularly in CPG and retail.
Unidentified Analyst: Great. Thanks.
Operator: Thank you. Our next question comes from James Heaney of Jefferies. Your line is now open.
James Heaney: Great. Thanks for taking the questions. Could you just talk a little bit more about -- I realize it's not formal guidance, but the preliminary 2025 outlook of double-digit growth and what gives you the confidence that you can sustain that into next year, just hearing about some of the product momentum that you have and what you expect to drive that growth? Thank you.
Lisa Utzschneider: Sure, James. So, a couple of things about 2024 guidance. While we're not providing 2024 guidance today, we are planning for double-digit revenue growth in 2025, and we are expecting a moderate growth in Q1 with a ramp through the year. Couple of factors why we expect to benefit with this double-digit growth. The first is the scaling, activation, adoption of products that we launched in 2024. These are both products that we launched earlier in the year, like TMQ on Meta and some of these newer products we rolled out in the back half of the year. Adoption of our pre-bid optimization in social media. I know we just spoke to that, the fact that Meta had selected IAS to launch the highly demanded pre-bid social optimization product. We have already run that product through beta with a handful of advertisers and we're live in GA in fourth quarter, and we're really pleased with the results and engagement that we're seeing. And then also another factor to 2025 guidance is the full year contribution of recently won Oracle businesses and further Oracle wins. One other point to make is that we are targeting full year adjusted EBITDA margin in 2025 and similar to the forecasted margin of our 2024 outlook, which does keep us well above the rule of 40 for the fifth consecutive year since IPO.
James Heaney: Great. Thank you.
Operator: Thank you. Our next question comes from Omar Dessouky of Bank of America. Your line is now open.
Omar Dessouky: Hi, thanks very much. I just wanted to back track a little bit on the third quarter and ask as the quarter progressed, when did you start to see this dip in advertiser spending? I assume that the effect that you saw in the month of October leading up to the election was preceded by some kind of effect in September and possibly August. Was it something that changed abruptly? Or was it more of like a kind of consistent downward trend through July, August, and September?
Tania Secor: The shift that we saw in volume growth started in the middle of the third quarter. So, August was particularly soft, softer than usual. This was primarily with CPG and retail clients as we saw reductions in their budgets and delays in their digital media spending. September is typically a strong seasonal month, and we are expecting an uptick in September, which did not materialize. And then as we saw -- as we mentioned earlier, as we kicked off the beginning of the fourth quarter, we did see still softness in brand spending leading up to the elections.
Omar Dessouky: And would you be able to give us a sense of what the growth was in the first half of that quarter? Or is that too granular of a question.
Tania Secor: Yes. Really just wanted to give you the talking points around what we saw from a growth perspective for the second half. Yes, we can't give specific numbers.
Omar Dessouky: Okay. Thank you.
Operator: Thank you. Our next question comes from Jason Kreyer of Craig Hallum Capital Group. Your line is now open.
Unidentified Analyst: Great. Thank you. This is Cal on for Jason. So first question, sorry, if this has been addressed already, but just what sort of feedback have you received from advertisers that have started testing the meta optimization? And how are you looking at that opportunity and optimization versus your existing Post-Bid tools?
Lisa Utzschneider: Sure. So it's early days with the Pre-Bid optimization product. As I mentioned before, we ran beta with a handful of advertisers. We received very positive feedback and just given what high demand this product has been. I mean we are currently running Pre-Bid, with TikTok, with LinkedIn, but the advertisers have been patiently waiting for the launch with Meta. So the feedback has been quite positive, both from the beta advertisers and now the advertisers who are in GA. And the team is very focused on ensuring that these advertisers who are currently running the product, they see the value of the product that we continue to activate and get more advertisers live. And the one other thing to call out in terms of the Pre-Bid opportunity is that Pre-Bid social, we estimate its 2x opportunity from a revenue perspective versus Post-Bid measurement. And you might remember prior to any of these Pre-Bid products that I was referring to, everything that we've been running on TMQ up to this date has been Post-Bid measurement. So we'll just continue to work with the brands, get the activation continuing to accelerate with Pre-Bid social optimization on meta and ensure we kick-off 2025 with that activation continuing to increase.
Unidentified Analyst: Great. And then just last one. Could you just expand on the launch of the IAS curation within GAM? What's the opportunity you see within curation given the data assets that you have? And could this be extended with similar integrations across other sell-side partners.
Lisa Utzschneider: Yes, sure. We were thrilled to announce first-to-market launch of IS curation with Google Ad Manager. And the way to think about that is leveraging IES' contextual data and embedding it in Google Ad Manager to ensure that brands are able to consolidate their bidding on higher-quality inventory and target contextually relevant content in a more precise way. In this one, too, it's early days, but it is a demonstration of longstanding partnership with Google, and we're thrilled we're continuing to innovate with Google.
Unidentified Analyst: Perfect. Thank you.
Lisa Utzschneider: Thank you.
Operator: Thank you. Our next question comes from Brian Pitz of BMO. Your line is now open.
Brian Pitz: Thanks for question. I know you discussed previously that advertisers continue to seek transparency and efficiency and that broader shift from insurance to performance over the long run. Can you give us an update on the discussion and feedback during your sales processes? Is this something that most accounts or only a handful are really discussing or asking for right now? And then I know it's early, but maybe just a quick update on integration into video gaming platforms, notably robot. How is that going? Any feedback there? Thanks.
Lisa Utzschneider: Sure. Happy to answer that one. So the advertisers are absolutely very focused on all things related to efficiency and ROI. And this is more at a macro digital advertising perspective, every single dollar that an advertiser invests in digital advertising; they want to get the best bang for their buck. So with that, the fact that IAS is providing transparency, providing solutions that help the brands reach higher quality media, offering pre-bid products, again, that drive that efficiency and drive higher ROI. The brands are very focused on that. I would also say at a macro level heading into fourth quarter, efficiency is the word that we repeatedly hear from the brands when it comes to advertising, their expectations around advertising, so the shift from insurance, ensuring that we protect brand equity, brand reputation for the Fortune 500 brands that we're protecting that brand equity, but equally if not more important is that we're also helping the brands drive higher ROI through the solutions and products that we're offering. So it's definitely top of mind for the brands. In terms of feedback on gaming, gaming continues to be an important emerging channel for the brands. Our Roblox partnership is a reflection of that. I would say from a channel perspective and how the brands prioritize, the various channels and solutions, especially when it comes to IAS products, I would say it is social optimization, retail, media, audio and then gaming.
Brian Pitz: Great. Thank you very much.
Lisa Utzschneider: Thank you.
Operator: Thank you. Our next question comes from Matt Cost of Morgan Stanley. Your line is now open.
Matt Cost: Great. Thanks for taking the question. I just wanted to ask about publisher revenue. It was a pretty meaningful acceleration this quarter and it's actually followed, I think, over a year of accelerating growth on the publisher side of the business. So I guess, anything that you would call out that's changing their areas of strength or new adoption? Thank you.
Lisa Utzschneider: Sure. So Publica, in particular, within our publisher business continued to post very strong growth in the third quarter, accelerating from the 20-plus-percent growth we disclosed in the second quarter. We're really pleased with this performance as we continue to expand our partnerships. And we also -- Publica did have a modest benefit from political advertising in the third quarter. The other call out on our publisher business is that we did see growth in our non-CTV publisher business due to some strength in that business as a reflection of some of the historical investments we've been making. As we move into the fourth quarter, we expect the publisher revenue growth to moderate a bit given third quarter did have a modest benefit from political, but we are expecting mid-teen growth overall in our publisher business in the fourth quarter and bringing the full year to mid-teen growth.
Matt Cost: Great. Thank you.
Operator: Thank you. Our next question comes from Robert Coolbrith of Evercore ISI. Your line is now open.
Robert Coolbrith: Great. Thank you for taking our questions. I wanted to ask on the pre-bid social tools. Have there been any customers who haven't used social measurement, but do you think the pre-bid optimization tools could be an unlocked to activate demand? And then a couple of quick ones on Oracle. Anything you could tell us about the mix of anticipated ex-Oracle revenue between advertising and publishing revenue. And was there any contribution from anyone who moved over before end of life in Q3? Thank you.
Lisa Utzschneider : Okay. So the first question around pre-bid social, do we anticipate any advertisers who've yet to use postpaid social to adapt pre-bid, it's early days for pre-bid social optimization. Ideally, we want all brands to use both pre-bid and post-bid. The ones that have currently engaged in pre-bid in the -- both the beta and the GA are the larger Fortune 500 brands. But I would say that in terms of a type of advertiser who would lean into pre-bid and has yet to activate post-bid would be mid-market. So mid-market being more performance-based marketers. And again, the team is out. They're pitching the product hard, both to those big advertisers and the mid-market advertisers. And yes, and we'll just continue to drive the activation.
Tania Secor : In terms of the mix of Oracle revenue, in the short-term, we do expect to see an impact across our publisher business also across our advertising business, particularly in measurement. As we scale over time, we do expect that mix to shift as the optimization opportunity becomes larger over time, and we continue to upsell and cross-sell our offerings.
Robert Coolbrith: Great. And can I ask a quick follow-up? Is there a way maybe to pitch this to some of those mid-market or performance-oriented advertisers sort of performance-based solution around pre-bid? Are there performance implications from utilizing the pre-bid optimization or benefits there? Thank you.
Lisa Utzschneider : Yes, great question. I would say that since we're in basically the first pitch of the first inning around pre-bid social optimization in Meta, we would need to activate some of these pre-bid mid-market accounts in pre-bid social. So in 2025, once we have more data in terms of the performance and results, we're happy to provide more color on that.
Robert Coolbrith: Got it. Thank you.
Operator: Thank you. Our next question comes from Youssef Squali of Truist Securities. Your line is now open.
Youssef Squali: Thank you very much. Tanya, can you just unpack the Q4 guide a little bit on the top line and kind of what are you guys assuming in terms of the trend in optimization and measurement? And on measurement in particular, on the back of some of these wins that you got from Oracle, was there any pressure on pricing that maybe is also part of the pressure that you've talked about?
Tania Secor: Sure. So I'll cover the first two, Lisa, if you want to handle the third. Our fourth quarter guide, just really kind of unpacking where we are from a revenue perspective, the outlook assumes the continuation of the lower volume growth that we saw in the near-term, particularly in CPG and retail, and we're just being thoughtful and prudent and adjusting our fourth quarter guidance to reflect that. We've also factored in the lower-than-expected monetization of the products we launched earlier this year. And as Lisa talked about, we did have a very robust product road map. And we're still seeing really nice adoption, for example, TMQ on Meta, Meta accelerating growth in 2024 versus 2023, but not as large as we expected given some of the current market dynamics. And then finally, we did see the softer-than-expected time frame leading up to the election. So we've factored this all in. We also factored in the impact from the new Oracle wins. And overall, one metric that we also want to make sure we highlight with you is that the fourth quarter revenue contribution to the full year in our guide is about 28%, which is consistent with this period last year. It's also worth calling out, we were really pleased to exceed our guidance on EBITDA because some of the strength, particularly around our gross margin improving year-over-year from the third quarter this year versus last year and raising our EBITDA guidance for the fourth quarter. In terms of your -- sorry...
Lisa Utzschneider: I'll follow up on that. Youssef, in terms of your question around any pricing pressure with the Oracle wins, a couple of notes there. Yes, it was a competitive jump ball process throughout the summer. Oracle offered a more basic level of product and service. We offered the customers that we won competitive rates with the opportunity to both upsell and cross-sell our premium offerings. And as I mentioned before, we always focus first on value. So we engaged with these prospects, demonstrated the differentiation of our technology and products, demonstrated the value we were offering. And yes, we offered competitive rates.
Tania Secor: One more thing, just to answer your second question specifically around the trend in measurement and optimization, we are expecting a slight uptick in the fourth quarter of the growth rate in our advertising revenue, both measurement and optimization, as I mentioned, publisher growth rate moderating. So our midpoint of our guide is 11% in the fourth quarter, also 11% in the third quarter, but is there that dynamic with a slight uptick in advertising as publishers expected to moderate.
Youssef Squali: All right. That’s helpful. Thank you, both.
Tania Secor: Thank you.
Operator: Our next question comes from Yun Kim of Loop Capital Markets. Your line is now open.
Yun Kim: Great. Thank you. Following up on last question, can you just talk about the overall pricing environment out there? And in regard to the price increase, are you able to get better pricing leverage when a customer adopts a certain products like prebid optimization versus if the customer is just a measurement customer? Thanks.
Tania Secor: Sure. So during the third quarter, our change in our average CPM was as expected in measurement, it was down 6%, which is slightly better than the first 2 quarters this year. Our CPMs and optimization were consistent with the prior year. And we do charge a material premium on optimization offerings versus measurement given the value of the tech. And as we're rolling out prebid social, given the higher rates we charge for optimization, we do see significant opportunity to cross-sell and upsell and charge more for our prebid social optimization.
Yun Kim: Okay. Great. And Tania, also for your double-digit revenue growth guide for next year, what are you expecting in terms of the optimization segment? Do you expect that to grow double digits as well, especially with the launch of all these new prebid optimization products?
Tania Secor: So in 2025, we have shared today some guardrails of how to think about 2025. In terms of the growth drivers, as we talked about, continuing to scale our 2024 product launches, so TMQ continuing to scale that in 2025, that will benefit measurement. And in terms of optimization, we do see an opportunity to ramp our revenue from prebid social, which will be included in our optimization numbers next year. And then Oracle, as I mentioned, the contribution for Oracle will be across all of our offerings.
Yun Kim: All right. Great. Thank you, so much.
Operator: This does conclude the question-and-answer session. I would now like to turn it back to Lisa Utzschneider, our CEO, for closing remarks.
Lisa Utzschneider: Thanks, everyone, for joining today's call. Our investments in leading market technology are yielding results with first-to-market products and partnerships, as well as new business momentum, including Oracle wins. We still have more work to do, but with an enhanced leadership team in place, we are focused on driving results for our customers and shareholders. Have a great night.
Operator: This does conclude the program. You may now disconnect.